Operator: Good day, and welcome to the United States Antimony Corporation Conference Call. Today's conference is being recorded. 
 Before we begin our presentation, I would like to advise you that today's call will include forward-looking statements within the meaning of the federal securities laws. Our presentation will include statements regarding our projections, estimates, expectations, beliefs and assumptions. These forward-looking statements will relate to, among other things, our revenues and production. These statements are qualified by important factors that could cause our actual results to differ materially from those reflected by the forward-looking statements, including those factors set forth in the Risk Factors section of our 2019 10-K form and our current 10-Q, if applicable. These reports also include glossaries of certain industry terms that may be used in today's conference call. The full forward-looking statements disclaimer is included in our press releases, and this disclaimer is in effect for the duration of the call.
 At this time, I would like to turn the conference over to Mr. John Lawrence. Please go ahead, sir. 
John Lawrence: Good afternoon, ladies and gentlemen, and welcome to the investor call. We're going to try to keep this short and to the point. And I'll turn the financial end over to Dan Parks, our CFO. Dan? 
Daniel Parks: Thanks, John. For the first quarter of 2020, we recognized a net loss of $308,882 on sales of $1,742,991 compared to a net loss of $707,460 in the first quarter of 2019 on sales of $2,456,365. In addition to normal operating costs, the loss in the first quarter of 2020 was significantly impacted by supply constrictions and a decrease in the market price for antimony.
 For the first quarter of 2020, our EBITDA, our earnings before income taxes, depreciation and amortization, was a negative $82,601 compared to a negative $484,187 for the same period of 2019. Our net noncash expense items totaled $260,185 for the first quarter of 2020 and included $226,281 for depreciation and amortization, $31,250 for directors' compensation paid for with stock and $2,654 of other items. 
 For the first quarter of 2020, general and administrative expenses were $199,971 compared to $205,174 for the same period of 2019.
 For the 3 months ended March 31, 2020, we sold 295,453 pounds of antimony compared to 443,148 pounds for the 3 months ended March 31, 2019. The raw material received from our North American supplier decreased by approximately 67,000 pounds for the 3 months ended March 31, 2020, compared to the same quarter of 2019. We had a decrease in raw material of approximately 81,000 pounds from Mexico for the first quarter of 2020 compared to the same quarter of 2019. The decrease in Mexican raw material was primarily a result of us utilizing our available cash to finish the Puerto Blanco precious metals plant.
 The average sales price of antimony during the 3 months ended March 31, 2020, was $3.06 per pound compared to $3.85 per pound during the same period in 2019. The precious metals for the 3 months ended March 31, 2020, income for precious metals from North America sources was $62,206 compared to $24,527 for the same period of 2019.
 Regarding zeolite, for the 3 months ended March 31, 2020, BRZ sold 2,809 pounds (sic) [ tons ] of zeolite compared to 3,841 tons in the same period of 2019, down 1,032 tons. BRZ realized a net income of $135,139 after depreciation of $49,190 in the first quarter of 2020 compared to a net income of $159,450 after depreciation of $46,301 for the same quarter of 2019. BRZ realized an earnings before income taxes, depreciation and amortization for the 3 months ended March 31 of $184,329 compared to $205,571 for the same period in 2019. We're anticipating continued growth in all areas of our zeolite sales this year.
 One additional note that during April of 2020, we received a PPP loan of $443,000 to meet payroll and keep our people employed until the showdown -- shutdown due to the coronavirus epidemic, is passed. This loan will alleviate stress on our cash flow for 2020, and we believe that the majority of this loan will qualify for the debt forgiveness provisions of the CARES Act.
 John, back to you. 
John Lawrence: Okay. I'm going to try to go over our sources of cash flow. I'm going to be very brief. But to start with, I was proud to see that our EBITDA came way down despite the prices being lower, and it reflects a tightening of costs in Mexico and also here.
 The other source of income is a DLA grant, Defense Logistics Administration (sic) [ Defense Logistics Agency ] of the Department of Defense. And the grant was $500-and-some-odd thousand. We still have 3 payments to go, each $85,000 and change. The banner project, of course, is the Los Juarez gold, silver, antimony project. And we have been tweaking and testing all of our leach equipment in Guanajuato, Mexico. And at this point, we have the leach recipe worked out very, very well. We are currently building a device called a thickener, and we're doing that to expedite production through the leach plant. The replacement cost new for the thickener is more than $100,000. Our cost is going to be less than $20,000. We're building it ourselves.
 The next item that came up is that it's possible to get to the 100-ton per day capacity of the plant that we will need one more leach tank, and we will build that ourselves at a very nominal cost, and that will be our next project.
 In terms of the daily gross at 100 tons per day, we're looking at 50 -- roughly $53 per ton gold, $47 for silver and about $31 for antimony, for a grossed in the neighborhood of 125,000 to 132,000 -- excuse me, $13,200 per day.
 The next project will be the completion of the 400-ton mill. And I've got to say that a lot of that is already done and paid for. And that includes the primary electric -- electricity to run the plant; the crushing circuit, which is huge; the concrete for the mill and location floor; and basically, the ponds are all done. So it's not going to be a huge job to continue construction after we reach the 100-ton per day capacity of the mill. It will come primarily from production.
 Okay. Number two, and this is sort of a wildcard, but we received this grant from the DLA to make a product that's used in all centerfire primers for ordnance up to a 20-millimeter. And the dilemma is that the only other big supplier or only other supplier is Red China. And our grant started off in, say, 2-year project, and we were going to provide 6 samples so that we could demonstrate compliance with the mill spec. Subsequently, the project was condensed to 1 year. 
 And recently, we're getting calls almost every week to see how our progress is, and they seem impetuous to get us going. The unofficial word is that after passing the mill spec that we may be subject to what they call expansion money, and that would be for probably the construction of a plant to make antimony trisulfide for the Department of Defense as well as to supply the commercial market in the United States. Since we've got started on this, we've had vigorous calls and interest in supplying the commercial producers of ordnance. It's amazing, and that also includes Bavaria, Japan, Mexico and certain European users.
 What is the advantage of trisulfide? We're currently selling antimony oxide in the $3 range, $3, $3.15. Trisulfide, we would be selling block trisulfide for the $5 to $6 range, so it's almost a doubling of price, and it makes the antimony section very, very lucrative. The other issue is that antimony is a strategic metal, and we have depleted the domestic stockpile some 15 or 20 years ago. The United States has no metal in stockpile. And it's used in all ordnance to harden lead, to use to harden lead and batteries. And the oxide is used as a flame retardant, very, very critical during all skirmishes.
 The third item very quickly is Bear River Zeolite. Bear River Zeolite has been profitable for quite a few years. And to date, the virus has not really impacted our sales. But one thing is developing here, and it's been ramping up for several years. One of the main byproducts of coal-fired generators is fly ash. And fly ash is a nasty product containing heavy metals, mercury, radioactive elements. And it's being used primarily in -- as a replacement for portland cement in the highways, bridges and so forth, but it's also used in the oilfield or what we call hardening of the drill cuttings. And recently, they have announced that it will no longer be available in Wyoming. And of course, our plant is right on the border of Wyoming. So we're looking for a potential large order as a replacement for that. Previously, we were investigated for replacing fly ash in the plant over in Oregon, and I think that may be the coming large market for our zeolite.
 The fourth item, of course, is the antimony business, and we're in a sold-out condition. Given a little price increase, it would be very good. But also with the trisulfide market looming, I think it's going to be a winner. That abbreviates the 4 sources of our excitement about the company. 
 I'm going to turn it over to questions and answers possibly. 
Operator: [Operator Instructions] We will take our first question from Mark Menzel with Sunrise Wealth Partners. 
Mark Menzel;Sunrise Wealth Partners;Financial Advisor: Yes. I'm glad you guys seem to be safe out there. What is your county like with respect to the virus? I know here in the Washington, D.C. area, we're having a beat, and it's dangerous. How is it out there? 
John Lawrence: We're, I think, the second most safe state [ within ] Alaska, the state of Montana. 
Mark Menzel;Sunrise Wealth Partners;Financial Advisor: Okay. That's good to hear. So I think I understand your numbers on 100 tons a day in Los Juarez. It's about $13,000 in a day in gross revenues on 100 tons a day and ballpark $8,000 gross profit? 
John Lawrence: The gross is correct. And to be more conservative, I would say that it could be in the $6,000 to $8,000 category for bottom line. 
Mark Menzel;Sunrise Wealth Partners;Financial Advisor: Okay. And you said you have to -- oh, and by the way, thank you very much for saving all that money building that thickener yourself. That's a good deal. You say you have to build another leach plant. Can this be... 
John Lawrence: Another leach tank, Mark, possibly. 
Mark Menzel;Sunrise Wealth Partners;Financial Advisor: Yes, leach tank. Okay. Is that going to delay this a week? A month? Can you give us some flavor on that? 
John Lawrence: 30 days. 
Mark Menzel;Sunrise Wealth Partners;Financial Advisor: So do you think we are within a month of producing the 100 tons a day? 
John Lawrence: Right now, we're not running the plant because we're building the thickener, and it's going right along. But what we are doing is running the other 5 samples for the Defense Logistics Agency with the mill. And when that's done, we're clear sailing strictly Los Juarez. 
Mark Menzel;Sunrise Wealth Partners;Financial Advisor: Can you give me a feel for timing on the 100 tons a day? Because that will lead us to an additional 400 tons a day, and not making light of $13,000 gross per day, I mean, that's $300,000, $400,000 a month in revenues, but when you peg on the additional 400, that is very serious money. So on the 100 tons, are we 30 days? 40 days? I know you can't go... 
Daniel Parks: We're in that category, Mark, and I'm a little skeptical to pick it a day, but, yes, we're originally shooting for third quarter, and we may lap over a little bit in terms of tonnage. 
Mark Menzel;Sunrise Wealth Partners;Financial Advisor: Okay. That's good enough for me. We're on a good course, it looks like, finally. 
Operator: [Operator Instructions] And at this time, speakers, there are no questions in queue. 
John Lawrence: Okay. We'll wrap it up then, and appreciate everyone's participation. Thanks again. 
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.